Operator: Good morning, and welcome to the American Express Global Business Travel Second Quarter 2023 Earnings Conference Call. As a reminder, please note today's call is being recorded. I will now turn the call over to the Vice President of Investor Relations, Barry Sievert. Please go ahead, sir.
Barry Sievert: Hello, and good morning, everyone. Thank you for joining us for our second quarter earnings conference call. This morning, we issued an earnings press release, which is available on the SEC and our website at investors.amexglobalbusinesstravel.com.  The slide presentation, which accompanies today's prepared remarks, is also available on the Amex GBT Investor Relations web page. We would like to advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the duration and effects of COVID-19, industry trends, cost savings and acquisition synergies, among others.  All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these and other risks and uncertainties is contained in our earnings release issued this morning and our other SEC filings.  Throughout today's call, we will also be presenting certain non-GAAP financial measures. Such as EBITDA, adjusted EBITDA, adjusted EBITDA margin, adjusted operating expenses, free cash flow and net debt. All references during today's call to such non-GAAP financial measures have been adjusted to exclude certain items. Definitions of these terms and the most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the supplemental materials of this presentation and in the earnings release.  Participating with me today are Paul Abbott, our Chief Executive Officer; and Karen Williams, our Chief Financial Officer. Also joining for the Q&A session today is Eric Bock, our Chief Legal Officer and Head of Global M&A. With that, I'll now turn the call over to Paul. Paul?
Paul Abbott: Well, thank you, Barry, and welcome to everyone, and thank you for joining our second quarter earnings call. We are the clear leader in a $1.2 trillion industry with a significant runway for growth. And in the second quarter, we continue to deliver on our strategic priorities and create strong momentum for the future.  First of all, we delivered outstanding financial results in the second quarter. The demand for our software and services drove results ahead of guidance, including record quarterly revenues, strong revenue yield, continued margin improvements and very importantly, a return to positive free cash flow ahead of our previous forecast. This is a huge milestone for the company and an inflection point that demonstrates our strong momentum.  Based on these positive trends, we are raising our 2023 guidance. Second, we are positioned for strong growth ahead. I am confident that our momentum will continue, driven by the growth in business travel, the demand for our software and services and our ongoing share gains. Our view of industry growth is supported by both direct feedback from our top customers as well as external industry forecasts. And our confidence in continuing to gain share is underpinned by our sales performance and a robust sales pipeline that's powered by our leading software and services.  Third, we continue to win in SME. Our results demonstrate excellent momentum in this very large customer segment with the fastest growth and the highest margins in the industry. We reported record SME new wins that continue to include a significant contribution from previously unmanaged customers. Record new wins in the SME segment positions us well for continued strong growth ahead. And clearly demonstrates the demand for our software and services in this very important segment.  Finally, we continue to act on investor feedback, and we're focused on making it easier to buy and trade our shares. We joined Russell 3000 and Russell 2000 indices in June. And in July, we converted our Class B to Class A shares, eliminating dual-class structure. We believe this has improved market data integrity. It increases the ability for inclusion and higher weighting in certain indices and also reduces barriers to increased holdings by investors. So as you know, transaction growth is an important driver of our performance.  And I'm now going to provide more insights into the continued strength in demand that we are seeing year-over-year. Second quarter transactions increased 12%, TTV grew 13%, driven by continued transaction growth and also an increased mix of international bookings.  Looking at our transaction growth trends in more detail, you'll see faster growth from SME customers. Our strategy and focus on SME growth is clearly paying off. And SME transactions were up 15% in the quarter. And importantly, of this 15% growth, 50% of it, was driven by net new wins and share gains. Global multinational transactions were up 8% year-over-year in the quarter. International growth also very strong in the quarter with transactions up 17%.  On a regional basis, we saw double-digit growth across all regions with Asia Pacific, the clear standout with 23% growth, transaction growth in the Americas and EMEA both increased 11%.  Finally, you'll also see here growth in hotel transactions outpaced there by 4 percentage points in the quarter, up 13% and 9%, respectively. This is driven by a continuation of the trends that we've seen over the past several quarters as well as our focus on increasing the ratio of hotel to air bookings, as we continue to strengthen our hotel content and value.  Second quarter revenues increased 22%. Here, you can see that we highlight growth in business travel and managed business travel compares favorably to other large global travel and business services peers. Growth rates across the travel industry are beginning to normalize year-over-year with the impact of the pandemic receiving and pent-up demand for leisure travel showing some signs of leveling off.  Demand and business travel, combined with our ongoing share gains, delivered strong second quarter revenue growth. So turning to the commercial highlights for the quarter. We continue to gain share with a reported $3.4 billion of total new wins value that's over the last 12 months, including record new wins with SME customers. Our biggest growth opportunity remains in the SME segment.  This represents a total opportunity of approximately $950 billion of travel spend. Within the SME segment, we are the #1 player in managed travel. But 70% of this SME opportunity is not currently in a managed travel program. And with our leading software and services, we are particularly well positioned to capture this significant opportunity and our results are proving this out.  So I'm very pleased to report that we've reached record SME new wins value over the last 12 months, and that totaled $2.3 billion of new wins. Of this, approximately 30% has come from previously unmanaged customers who are looking for the service, the savings and the control that our leading solutions provide. In addition to the record SME new wins, we continue to gain share in the global multinational segment with major wins across sectors, including a leading media and entertainment company, one of the world's largest global financial services firms and one of the world's leading mining companies.  Therefore, we remain confident in the strength of our future sales pipeline. Importantly, we also maintained strong customer retention of 95%. Over the last 12 months, we've also renewed $4.6 billion of existing customer contracts. I'm also very proud to say that our industry leadership continues to be recognized externally. Customers want confidence that their suppliers are operating to the highest possible standards. And I'm very pleased to share that we have been awarded Compliance Program of the Year designation by Compliance Week. Recognition of the really strong operating controls we have across our business.  And finally, we were also recognized in the quarter as one of the best employers for women by Forbes. This is a testament to our commitment to create a diverse and inclusive environment where everyone has equal opportunity to succeed. I'd like to extend a sincere thank you to all of my colleagues around the world for their commitment and their leadership that make these valuable recognitions possible.  Moving on to our product and technology highlights. We have the leading software platforms across all segments of business travel, including the leading B2B travel software platforms, Egencia and Neo. These solutions are proven at scale on a global basis. And they combine the best technology and the best people. Transactions on our Neo and Egencia software platforms increased 20% year-over-year in the quarter, which is well above our overall transaction growth of 12%. And a direct result of the strong customer demand for our proprietary software solutions.  77% of our transactions now come through digital channels and over 60% of them are coming on our own software platforms, Egencia and Neo. We're constantly working on new and innovative ways to meet and exceed customer needs. Recently, we expanded our live chat services to Slack so customers can efficiently manage their travel in the enterprise solutions that they use every day.  This increases customer satisfaction and it also promotes more bookings in the Amex GBT marketplace. We recently received our fifth patent for an invention that uses AI to monitor and improve customer satisfaction. This groundbreaking use of AI comes through large amounts of data and customer communications to gather and display historical sentiment scores.  It then displays that data in an interactive graphical user interface that we can use to easily visualize trends and then deploy actions to improve customer satisfaction across our business. Egencia was awarded 16 G2 badges, including easiest to use platform for small business travel management in the G2 Summer 2023 report.  As a reminder, G2 is the largest and most trusted peer to be a review site. More than 60 million people and many Fortune 500 companies use G2 to make their software decisions. These 16 badges recognize our commitment to providing travel solutions for the cutting edge that are proven at scale globally and are easy to implement and easy to use.  Last quarter, we announced a standard that can be used by the managed travel industry to ensure a successful and scalable launch of NDC content in a way that meets the needs of business travel customers. We expanded our NDC pilots in the second quarter and now have approximately 1,500 companies who are accessing NDC content through Amex GBT from 4 airlines in the U.S. and Europe. American Airlines, Air France, KLM and Lufthansa. Finally here, we continue to help customers reach their sustainability goals. Supporting this effort, Bank of America joined a growing list of participating companies as the first financial institution to sign on to our sustainable aviation fuel program, which is led by Amex GBT in partnership with Shell Aviation.  So to sum up our second quarter performance, it provides yet another proof point of our continued financial, commercial and technological progress. We clearly reported strong financial results, including record revenues, positive free cash flow and record SME new wins. As a result, we are raising our full year 2023 guidance.  Continued business travel growth and share gains also give us confidence as we look ahead to the balance of 2023 and beyond. So that completes my review of the Q2 highlights. I would like to hand it over to Karen, now to discuss the financial results in more detail before we move on to our full year and our Q3 outlook.
Karen Williams: Thank you, Paul, and hello, everyone. Before I get into the details, given this is my first call as CFO of Amex GBT, I want to share my 3 key priorities when it comes to managing our financial performance. Firstly, achieving outstanding financial results by growing revenues, growing adjusted EBITDA and increasing free cash flow. This has been a key strategic priority for Amex GBT, and remains a critical area of focus.  Secondly, and importantly, driving continued margin improvement. And finally, creating capacity to invest and drive long-term sustained growth. And so now let's turn to the highlights.  We had a fantastic quarter, thanks to the continued hard work across our team to drive performance. As you heard from Paul, we delivered strong revenue and adjusted EBITDA growth. As you think about our performance, we were above guidance in Q2 as a result of revenue outperformance, driven by higher volume and higher revenue yield. We saw continued momentum in the second quarter across our 3 financial priorities.  And very importantly, we returned to positive free cash flow. We continue to reduce our net leverage ratio and delivered year-over-year margin improvement, all the while allocating incremental investment dollars with an eye toward driving longer-term growth.  Looking at the second quarter results in more detail. Revenue increased 22% to reach $592 million. This was ahead of our guidance. As I mentioned in my opening summary, this was partially driven by our strong transaction growth, which was roughly 3 percentage points ahead of our expectations, but also by our yield.  As a reminder, our yield is measured as revenue [indiscernible] TTV and reached 8.1% in Q2. The strong revenue yield in the quarter was also 30 basis points ahead of our expectations driven by higher performance incentives. And as such, travel revenue increased 23% year-over-year.  Note there is a phasing impact on the revenue across the quarters that somewhat skewed year-over-year revenue growth compared to transaction and TTV growth. I encourage you to look at H1 as a whole.  Products and Professional Services revenue increased 16% with increasing demand coming from meetings and events and management fees. Now before we talk about adjusted EBITDA, let's discuss expenses. Our adjusted operating expenses increased 11% in the quarter, whilst revenues grew 22%. Strong transactional growth drove increased cost of revenue and investments in the business resulted in higher sales, marketing and technology expense. These were partially offset by cost savings and Egencia synergies.  And so, this performance translates into delivering $106 million of adjusted EBITDA and continued margin expansion in the second quarter. Adjusted EBITDA margin reached 18%, up 8 percentage points year-over-year and notably the strong margin performance was also ahead of full year 2019 pro forma adjusted EBITDA margin.  As I said in my opening comments, we reached a pivotal moment for the company in the second quarter with the achievement of $19 million in positive free cash flow. As expected, our working capital position significantly improved versus Q1. This is in line with the volumes, working capital and cash flow seasonality we outlined in detail last quarter. And as a result, we reported positive cash provided by operating activities.  On our last call, I discussed the Egencia working capital initiatives, which will drive material benefits over the next 12 months. I am pleased to say that we have realized some of these benefits earlier than expected and this is really what drove our positive free cash flow in the quarter, which was ahead of our expectations and largely breakeven.  Our leverage ratio or net debt divided by last 12 months adjusted EBITDA is approximately 3.5x as of June 30. This is a significant step down for us as a company and a critical proof point in terms of our momentum. Additionally, the reduction in our leverage ratio will drive 75 basis points interest rate reduction on our outstanding term loan beginning in the fourth quarter.  By 2023 year-end, we expect leverage of less than 3x and continue to target 2x to 3x net leverage as our target leverage ratio. Our positive outlook for growth over the remainder of the year is supported by our customers and industry experts. Based on our August survey, on average, our customers expect continued solid year-over-year growth in their travel spend in H2 2023, including 84% of our top 100 customers expecting their travel spend to be flat or up in the second half of 2023 versus the second half of 2022.  The highest growth is expected across the industrial, communication services, financial services and insurance services. And this is aligned with Morgan Stanley's most recent corporate travel survey, which shows expectations for 9% corporate travel growth in the second half of 2023, and 8% growth expected in 2024.  And so let's turn to guidance and key drivers, starting with third quarter of 2023. We expect to deliver revenue between $545 million and $560 million, representing growth of 12% to 15%. This is built on expectations for around 9% transaction growth as we continue to normalize year-over-year and a revenue yield slightly lower than the first and second quarter given the seasonality of our business.  We expect operating expenses to trend down sequentially in the third quarter, this is driven by the changes we announced in January relating to our reorganization, which are creating operational efficiencies and reflects our continued focus on cost. This results in third quarter expectations for $85 million to $95 million in adjusted EBITDA with an adjusted EBITDA margin of 16% to 17%, representing year-over-year adjusted EBITDA margin expansion of 8 to 9 percentage points.  We have provided Q4 guidance based on our year-to-date results and our Q3 and updated full year guidance. As mentioned, our expectations for H2 have increased, but it's important to remember the seasonality of our business where H1 is stronger than H2. We expect strong transaction growth to continue in Q4 with a yield in line with full year expectations. Revenue growth in Q4 is lower due to the outperformance of supply yield in the fourth quarter of 2022. I would encourage you to look at transaction growth to understand our momentum and H2 year-over-year growth in aggregate. I refer you to the appendix of our earnings presentation for more detail.  As we focus on full year 2023, as you've heard, we are now guiding to revenues between $2.25 billion and $2.28 billion, which represents 22% to 23% revenue growth. This translates into $70 million incremental revenue at the midpoint of our guidance. This increased revenue expectation is based upon our H1 performance, strong volume momentum and our confidence in our previous full year revenue yield guidance of 7.8%.  On the cost side, we remain focused on our operating expenses, where we expect single-digit growth versus revenue growth of 22% to 23%. This demonstrates the leverage in the model as we have improved operational efficiencies, realized cost synergies and achieved benefits from the reorganization. We continue to expect cost savings to accelerate in the second half of the year, driving a reduction in expenses compared to the first half of the year. And so this results in an incremental $25 million of adjusted EBITDA at the midpoint.  Now I recognize that we would typically expect a pull-through of approximately $45 million on incremental revenue of $70 million. However, as mentioned last quarter, we have some delayed execution of our European restructuring plan, which has impacted the phasing of our cost reduction. But importantly, we are making incremental product and technology investments in the balance of the year to further strengthen our competitive position.  In total, we expect these 2 items to have approximately $20 million impact. We are now guiding to full year adjusted EBITDA between $365 million and $385 million. Our productivity gains and high operating leverage are expected to deliver 10 to 11 points of full year adjusted EBITDA margin expansion.  We now expect a margin of 16% to 17%, which is at the higher end of our previous guidance. We anticipate generating positive free cash flow during the second half of the year with much stronger results in Q4 versus Q3 due to seasonality. We are confident in our ability to deliver this given our growth expectations, the seasonality of our working capital and the Egencia working capital optimization plan, and continue to target 2x to 3x net leverage as our target leverage ratio.  So in summary, I am confident about our financial performance and the trajectory. We delivered strong second quarter revenue growth, significant adjusted EBITDA margin expansion, positive free cash flow, reduced our net leverage ratio and created some capacity to invest for the longer-term growth. Our confidence in our forward outlook is underpinned by the expectations for the continued growth in business travel, strong SME growth and share gains, and reflected in our increase in guidance. We expect to deliver strong results over the balance of the year.  So we can now move into Q&A. Paul and I are joined by Eric Bock, who is our Chief Legal Officer, Global Head of M&A and Compliance and Corporate Secretary. Operator, please go ahead and open the line.
Operator: [Operator Instructions]. The first question today comes from the line of Toni Kaplan with Morgan Stanley.
Toni Kaplan: It looks like a lot of continued progress on the SME side of the business. I was hoping you could give some additional color around the pipeline for new clients there. Any verticals in particular standing out more than others? Any sort of changes in the pipeline versus normal? Just wanted to get more color there.
Paul Abbott: Yes. Sure. Toni, it's Paul. Thanks for the question. Overall, the SME pipeline looks really strong. As I mentioned in my prepared remarks there, we've reached a record level of new signings over the last 12 months, and that's really driven by the momentum in the last quarter.  So really pleased with the momentum in terms of the SME signings overall. Because it's such a broad segment, it's really across all industries. There's no real specific industry that I would call out. One of the areas of focus for us, though, has been that unmanaged segment because of the overall $950 billion opportunity, $600 billion of that is in that unmanaged segment. So that's a subsegment that we watch really, really carefully. And we are about -- up to about 30% of our SME new wins are coming from that unmanaged segment.  So pipeline looks really strong, really good momentum in Q2 and continuing strength in the unmanaged segment as well. And I think that the value proposition, the choice that we offer now with the Egencia platform and the GBT Select platform and Ovation is definitely helping us to increase our win rates. The percentage of customers that we win that we target has also been tracking up quite nicely as well, given the broadest set of offers that we have in the market. So those would be the highlights.
Toni Kaplan: Yes. Terrific. And maybe, Eric, I was hoping you could talk about the M&A pipeline, what you're seeing in the market, if valuations -- how valuations are? And then also maybe just strategically, anything that you guys would be considering doing from a either technology-wise perspective or just any other capabilities that would be useful in trying to attack the market?
Eric Bock: Yes. Thanks for the question. I'm not going to touch on valuation too much. But strategically, SME continues to be a focus area, a huge opportunity as Paul and Karen pointed out on this call, geographic -- select geographic areas where we think operating proprietary is better than operating as a partner. And then yes, the capabilities and technology areas, we are continuing to look at. We do have a pipeline. We are evaluating opportunities, but it is M&A, so no assurances that we're getting across the line, but we're -- yes, something that we continue to be focused on.
Operator: The next question comes from Duane Pfennigwerth with Evercore ISI.
Duane Pfennigwerth: Just on the new customer wins and I think focused on the SME segment, can you speak to how much of your revenue growth and your transaction growth was driven by new wins or customers that you didn't have 12 months ago? And as you think about recovery potential, how do these wins shape your kind of longer-term thinking about what recovery looks like, why wouldn't we be well ahead of 100% at some point? And when do you think we get to retire 2019 comps?
Paul Abbott: Well, Duane, we've already retired 2019 comps, as you may have seen in the presentation. But coming back to your question, if you look at the SME segment specifically, we grew at 15% in the second quarter and half of that was net new wins. So think about 7.5 points of it being sort of organic improvement and 7.5 points of that being net new wins.  If you look at our kind of full year performance, take the midpoint of our kind of growth in 2023, that's about 22% growth year-over-year. And you should think about kind of 5 points of that really coming from net new wins in the full year 2023. And with the pipeline that we have, we feel confident that we can kind of continue that momentum into 2024.
Duane Pfennigwerth: Okay. And then maybe you could touch on if there was any surprise, my guess is most of this was conservatism, but to the extent that there was any positive surprise over the balance of 2Q, what geographies sort of surprised you the most?
Paul Abbott: I mean, yes, I wouldn't say it's conservatism. I mean, basically, our H1 results came in -- in terms of sales growth, they came in 3 points higher than we had forecasted for H1. I think we previously guided to sort of 2 points of recovery per quarter. And so we were expecting a kind of 2-point improvement in recovery rate in Q2 versus Q1, and we actually saw a 4-point improvement.  So I guess you could call it conservative, but that was really the difference between what we guided to previously and what actually played out in the second quarter. I wouldn't say there are any surprises in terms of the overall trends. SME continues to outpace global multinational, 16 points ahead in terms of the recovery rate. So obviously, our focus there has been very helpful.  APAC continues as a region to outperform EMEA and the Americas, although EMEA and Americas were still double-digit growth. And hotel continues to outpace air. Hotel was the other area where we definitely saw outperformance in the second quarter. I think we had 14% on hotel, which was a little ahead of our forecast for the quarter.  So no major surprises, Duane, it's more a sort of continuation of the trends that we were already seeing.
Operator: The next question comes from Lee Horowitz with Deutsche Bank.
Jeffrey Seiner: This is Jeff Seiner on for Lee. So beyond the third quarter, have the prospects of the economics soft landing in the U.S., major customers more confident in this [indiscernible] during the business travel season. I know you called out the customer survey in the second half, has this [indiscernible] your more constructive outlook for the full year?
Paul Abbott: I would -- I think we cited two pieces of customer research in our previous comments. There's an independent survey that was done by Morgan Stanley on business travel trends for the second half of the year, and that forecasted a 9% year-over-year increase.  Our own survey as we go out to our top 100 global multinational customers, and each quarter, we asked them to refresh their forecasts for the balance of the year. And I'd say it was largely consistent with the prior quarter. So those really are the 2 data points.  Obviously, there is still a degree of uncertainty in the macroeconomic environment. And I think that's reflected in the forecast that we get from our customers and obviously, Morgan Stanley have reflected in their survey. But to answer your question directly, we haven't really revised our outlook for the second half of the year that significantly. I think what we've seen is an outperformance in the first half of this year, and we've essentially forecasted for that level of performance to continue.
Jeffrey Seiner: Okay. Great. And obviously, you have a large support organization and Gen AI capabilities evolving rapidly, including with the patent that you mentioned, how quickly do you think you may be able to realize these cost savings from these technologies?
Paul Abbott: Yes. Well, we have -- we see automation as a significant opportunity for us to improve productivity and increase our margins. But that is not just driven by generative AI. We are always looking for opportunities to automate demand that's coming into our existing voice channel, or our e-mail channel and to build out features on our software platforms, Egencia ,Neo in order to automate that demand and to increase the number of transactions that are going through our digital platforms.  And I think I mentioned in the remarks there that we now have 77% of our total transactions coming through digital channels. Over 60% of those now on our own software platform. So the point I'm making here is that automation using big data, using AI is not new to us. It's something that we're already doing. However, the power of large language models and generative AI enables us to potentially take that to another level.  And we are identifying a number of use cases, use cases that have also been proven in other industries and in other parts of the travel industry. And we are looking at how -- what impact those use cases could have in our productivity over the next couple of years. And so we definitely see it as a significant opportunity. I would say it's something that at a later date, we would look to discuss in more detail.
Operator: The next question comes from Peter Christiansen with Citigroup.
Peter Christiansen: Nice execution of the quarter, and welcome aboard, Karen. My first question is on the Pro Services side, really nice growth there. Just curious if we should think about the cadence of that segment of results for the second half, how are you feeling about upside potential there and if there's any seasonality that we should be thinking of?
Karen Williams: Peter, nice to talk to you, again, and thanks for your welcome. I think on the Professional Services, in particular, we just expect continued momentum really in the second half. And as we look more holistically at revenue, there is clearly a seasonality impact as we've pointed out.  But as you think about our guidance, we have increased revenue by $70 million, and $43 million of that increase is flowing through in the second half, which really is reflecting the volume that Paul talked about earlier and expectations there with some impact from yields as well, but majority flowing through from volume.
Peter Christiansen: That's helpful. And then, Paul, just curious if you had any qualitative thoughts on travel inflation -- business travel inflation generally, if you're seeing in cooling on the pricing side and whether or not you think that's impacting corporate travel.
Paul Abbott: Yes, we saw average ticket price in the second quarter was 2 points higher than the first quarter. So average ticket price relates to air. And then on hotel, average daily rates were 3% higher in the second quarter versus first quarter.  So we are still seeing some moderate quarter-over-quarter increases there. On the air side, there is going to be additional capacity coming in, in the second half of the year. If you look at the global numbers, they're quite high, but we tend to sort of back out China and really look at the U.S. and Europe. And so there's 3% to 5% additional capacity coming into the second half of the year as opposed to the first half of the year.  If you look at the major carriers in those geographies and actually a higher proportion of that capacity that's coming in is on international routes. So I do think as that capacity comes online and potentially as the economy starts to pull with the interest rate increases, it's logical to see some, I think, leveling off of ATP and average daily rates in the second half of the year, and that's essentially what we've assumed in our plan for the second half.  We've assumed the kind of a leveling of price in the second half of the year.
Operator: Our next question comes from Stephen Ju with Credit Suisse.
Stephen Ju: Great. So I guess a follow-up on the 110% versus 2019. I was wondering if you can talk about whether we are ahead of where we used to be on a unit basis or if some of this was due to higher pricing overall? And I guess if you can update us on the sales cycles for some of the larger enterprise potential clients, whether it's getting easier now, about the same or more difficult but hopefully corporate attitude towards spending starting to losen up a little bit more.
Paul Abbott: Stephen, I didn't quite follow the first part of your question. Would you mind just clarifying that for me?
Stephen Ju: Sure. Your TTV is 110% in the second quarter versus what was the case in 2019, right? So there's unit growth and then there's price inflation that's happened because of capacity constraints. I'm just wondering between price and volume, like what drove a lot of the greater now overall volume as we kind of think about, you just highlighted additional capacity coming on next year. So how pricing might be impacted as we think about '24 and beyond?
Paul Abbott: Yes, Stephen, I'm not following the 110% of 2019. I think our TTV recovery kind of full year is around the 80% mark. So I'm not sure if there's a misunderstanding there in terms of the 110%.
Stephen Ju: Well, yes, you highlighted, yes, transaction recovery versus 2019 on the Excel, the KPIs that you presented for the second quarter. Yes. Well, we can take it offline if it's at 80%, then the question is invalid. But I guess on the second question, if you can update us on, I guess, the sales cycles in terms of what you might be seeing, whether they're getting easier or shorter or about the same?
Paul Abbott: Yes, sure. For the global multinational accounts, I think the first thing I would say is that we have a very active and healthy pipeline. I would say there's nothing materially different in terms of the sales cycles in global multinational, right? They've always been in that sort of 9- to 12-month range for very large companies to complete sophisticated global RFP process.  So no real material change in global multinational. I would say that as SME becomes a higher share of our signings, which it is, and we're bringing more and more customers in from that unmanaged segment. Those sales cycles and close rates are much shorter and the implementation of ramp-up time is shorter.  So if you look at our entire book, you're going to see an improvement, but it's driven really by mix, driven really by mix in terms of much higher share of SME signings.
Operator: At this time, we have no further questions. I'll turn the call back to Paul Abbott for closing remarks.
Paul Abbott: Great. Well, look, thank you in closing. Thank you so much to our colleagues at Amex GBT around the world for their dedication to our customers and the strong results that they have delivered. We are very confident in our position and our outlook for growth in 2023 and beyond. Thank you to all of you for joining us and your continued interest in the company.
Operator: Thank you, everyone, for joining us today. This concludes our call, and you may now disconnect your lines.